Operator: Ladies and gentlemen, thank you for standing by. And welcome to Phoenix New Media 2019 Fourth Quarter and Fiscal Year 2019 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your first speaker today, Ms. Qing Liu. Director of Investor Relations. Thank you. Please go ahead.
Qing Liu: Thank you, operator. Welcome to Phoenix New Media Fourth Quarter 2019 Earnings Conference Call. I’m joined here by our Chief Executive Officer, Mr. Shuang Liu; and Chief Financial Officer, Mr. Edward Lu. On today’s call, management will first provide a review of the quarterly results and then conduct a Q&A session. The fourth quarter 2019 financial results and webcast of this conference call are available on our website at ir.ifeng.com. A replay of the call will be available on the website in a few hours. Before we continue, I would like to refer you to our safe harbor statement in our earnings press release which applies to this call as we will make forward looking statements. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in RMB. With that, I would like to turn the call over to Mr. Shuang Liu, our CEO.
Shuang Liu: Thank you, Qing. Good morning and good evening, everyone. In the fourth quarter of 2019, our unique position as a new media pioneer has enabled us to consistently outperform the competition as evidenced by our better than expected top line performance in the fourth quarter of 2019. Additionally, our ongoing production of engaging exclusive new company brand enhancing activities and monetization stream diversification continue to boost our value proposition with both users and advertisers alike, On the news front, we are focused heavily on balanced accurate coverage of major social events around the world, such as a Hong Kong products and US-China Trade negotiations. During the US-China Trade negotiations for example, we leveraged our comprehensive news coverage, unique editorial perspectives and state-of-the-art recommendation algorithm to keep user up-to-date throughout the twists and turns of events. In particular, our coverage of this event was well received by our users achieving 15.3 million views in total. The warm reception of users to this type of content helps us to grow our click-through rate by 8% year-over-year in the fourth quarter. We also achieved improvement in other operating metrics including user conversion rates retention rate and user time spend our flagship news app iPhone. Notably, our consistent coverage of this high profile social event continues to boost both our market leadership and brand influence in China's new media industry. In addition to premium news coverage, we also continue to enhance our brand influence and solidify our leadership in key content verticals to offline events in the quarter. For example, in December, we organized our iPhone Fashion Award Gala in Beijing with the participation of multiple top tier celebrities and in fashion KOLs, this eye catching event attracted 860 million total views and resulted in seven of the highest ranked search topics on social media. In November, we held our Annual iPhone Fashion, Annual iPhone Finance Summit in Shanghai. Our content teams utilized this event to produce a number of extensive reports are reached millions of users online. Additionally in November, we hosted the 2019 iPhone Beautiful Childhood Charity Gala in cooperation with China Charities Aid Foundation for children and several other charity organizations to reach over RMB32.4 million in donations for children in need.  During the last 13 years, we have organized the Annual iPhone Beautiful Childhood Charity Gala in eight different cities across three continents to reach over RMB210 million. Importantly, our ability to leverage these events to provide engaging content to users and deliver convincing results to advertisers highlights the strong, multi-dimensional value proposition. In light of these advantages, we expect our event execution capabilities to continue driving our business expansion going forward.  For online reading we continue explore those opportunities with attractive monetization potential. In the fourth quarter, we produce over 200 audio books, three of which instantly become smash hits on popular audio platforms through China. In addition, our comic book business also continued to produce encouraging results. In October for example, we launched a new 10 episode anime series that perform exceptionally well tracking over 150 million views in less than three months. Going forward we plan to replicate the success formula and produce foreign language comic books in English, Korean and other languages for more readers around the world. On a gaming front, the State Administration of press and publication issue a gaming license to Golf Player on February 10th. Golf Player is a highly anticipated game title produced by our subsidiary in 2019. We're convinced that our commitment to developing creative IP and new channels of monetization will enable us to continue growing our traffic and diversify our revenue stream in the long run. By the end of 2019, we have cash and cash equivalents of around US $243 million and we are expecting to receive about US $200 million from the second payment charge of our Yidian transaction.  On acquisition front, while we remain certain of our ability to identify suitable acquisition targets and capitalize on these opportunities, we will continue to exercise the prudent approach with due diligence in order to maximize our upside potential. With abundant cash reserves, healthy cash flows and systematic strategy investments, we firmly believe in the strength of our long-term growth prospects. Looking back, on 2019, we experience the challenges of involving media regulations and macroeconomic head points. However, despite these effects obstacles, we continue to enhance users' stickiness by in reaching our content library, bolster our brand influence in key continent verticals and explore additional monetization opportunities, as well as advance into 2020; we are facing unprecedented challenges from one of the most devastating epidemics of era. It's coronavirus outbreak. We always pride ourselves, our ability to deliver premium reporting to our audience. In response, we have once again set ourselves apart from our media and internet portal peers by launching various reporting initiatives to lead outbreak coverage. At onset, we launched the first-ever climatic as well as international epidemic map to track the spread of virus in real time. Document confirmed cases and categorize cases by chronology and geography. We also created the first special media column dedicated to fact-checking and debunking outbreak rumors, while producing daily briefings on a latest outbreak press, keep our users informed. Furthermore, we let the first internet wide campaign to fight the surge of resentment and discrimination towards those at outbreak's epicenter in Wuhan, successfully promoting a thorough understanding of the situation. To heighten public awareness, we leverage our ability to process, analyze and deliver informative and engaging new content since January 19, We-media account human intelligence Agency, [Indiscernible] has issue over 30 in-depth analysis pieces on outbreak development helping to educate the public on origin and transmission mechanism of virus, while demystifying outbreak rumors. The exclusive coverage of all We-media account global has also received industry-wide recognition cracking over 14 million views on our platform and producing multiple articles that have topped the charts of other social media platforms. Additionally, we publish a number of pieces on ordinary Chinese citizens bravely battling against the disease to maintain a sense of normality in their lives on popular We-media account. Living [Indiscernible]. These stories receive 5 million views on platforms with the most public collecting one in 50 million views across Internet, notably our success in these initiatives continue to illustrate our competitive advantages in professional reporting talent, powerful brand influence and a global journalist team which is second to none. For our internal operations, we immediately acted to protect the health and well-being of our employees and maintain efficient daily operations. Moreover in line with our commitment to social responsibility, we provided additional forms of aid beyond our premium news coverage. For example, we were part of the first batch of Internet companies to donate RMB1 million to the China Charity Federation in support of those medical workers on the front lines of the outbreak. We're also among early donor of education equipment to help students is less developed areas, a course online learning courses. To better facilitate the public access to medical assistance, we establish platform to provide counseling services to those in need of mental health support and an online registry for those who suspect that they may be infected and are under self-imposed quarantine. Our response to the outbreak has not only received a positive reception from the public but has also helped to further augment our brand influence and credibility. To date, we have remained at the forefront of the domestic reading in terms of breaking news and quality of content. Going forward, we'll continue to focus on providing our audience with the premium news coverage that it requires in such times of crisis. In the coming quarter, we believe that most domestic companies will inevitably be forced to reach and evaluate their marketing strategies and revise their advertising budgets such as shift will negatively impact our advertising revenues in the near term. However, as I have mentioned, our ability to generate highly relevant sales leads will remain attracted to those advertisers, while focus are maximizing their ad ROI while operating under budgetary constraints. Therefore, we expect the epidemic to impact our business segments in the short term. However, our consistent delivery of premium new content and elevated brand influence will help to ensure the growth prospects about advertisement business in the long term. With that I'll turn the call to Edward, our CFO to go through the financial details.
Edward Lu: Thank you, Shuang. And thank you all for joining our conference call today. I hope everyone is well and healthy. Our total revenues in the fourth quarter of 2019 was RMB470.9 million representing an increase of 17.9% from RMB399.2 million in the same period last year. Our total revenues this quarter included RMB70.5 million of consolidated revenues from Tadu and RMB83.4 million of consolidated revenues from Tianbo. I will now provide the details on our revenues in the fourth quarter of 2019. Consolidated net advertising revenues in the fourth quarter of 2019 were RMB395.2 million representing an increase of 11% from RMB355.9 million in the same period last year. The increase was primarily attributable to the consolidation of both advertising revenues from Tianbo and Tadu. Net advertising revenues from our traditional business in the fourth quarter of 2019 decreased by 20.7% due to increasing macroeconomic uncertainties and the heightened industry competition. Paid services revenues in the first quarter of 2019 increased by 75.1% to RMB75.7 million from RMB43.3 million in the same period last year. Revenues from paid contents in the fourth quarter of 2019 increased by 172.2% to RMB59.2 million from RMB21.8 million in the same period last year, mainly due to the consolidation of digital reading revenues from Tadu. Loss from operations in the fourth quarter of 2019 was RMB93.5 million compared to RMB39 million in the same period last year. The increase in loss from operations was mainly due to the more increase in cost of revenues and the operating expenses than in revenues. Operating margin in the fourth quarter of 2019 was negative 19.9% compared to negative 9.8% in the same period last year. Non-GAAP loss from operations in the first quarter of 2019 was RMB86.8 million compared to RMB34.4 million in the same period last year. Non-GAAP operating margin in the fourth quarter of 2019 was negative 18.4% compared to negative 8.6% in the same period last year.  Net income attributable to Phoenix New Media Limited in the fourth quarter of 2019 was RMB911.8 million compared to net loss attributable to Phoenix New Media Limited of RMB38.3 million in the same period of last year. Non-GAAP net loss attributable to the company in the fourth quarter of 2019 was RMB82.7 million compared to RMB37.7 million in the same period last year. Moving on to our balance sheet. As of December 31st, 2019, the company's cash and the cash equivalents term deposit, short-term investment and the restricted cash were RMB1.7 billion or approximately US $243.6 million which included RMB30.1 million from Tadu and RMB109.7 million from Tianbo. Let me briefly run through the key figures in fiscal year 2019. Total revenues in 2019 increased by 11.2% to RMB1.53 billion from RMB1.38 billion in 2019. Net advertising revenues in 2019 increased by 5.4 % to RMB1.26 billion from RMB1.2 billion in 2018, primarily due to the consolidation of advertising revenues from Tianbo and Tadu. The company's net advertising revenues from traditional business decreased by 20.4% from 2018 to 2019 due to the same factors that led to the quarterly decrease. Paid services revenues in 2019 increased by 49.4% to RMB267.6 million from RMB179.1 million in 2019, primarily attributable to the consolidation of digital reading revenues from Tadu.  Non-GAAP loss from operations in 2019 was RMB347.3 million compared to our non-GAAP loss from operations of RMB110 million in 2018. Non-GAAP operating margin in 2019 was negative 22.7 % compared to negative 8% in 2018. Non-GAAP net margin in 2019 was negative 20.4% compared to negative 4% in 2018. Non-GAAP net loss attributable to the company in 2019 was RMB311.7 million or non-GAAP net loss of RMB4.28 per diluted ADS.  Finally, I'd like to provide our business outlook for the first quarter of 2020. We are forecasting total revenues to be between RMB250.8 million and RMB272.8 million, representing a decrease of 4.2% to 11.3% year-over-year. For net advertising revenues, we are forecasting between RMB211.8 million and RMB226.8 million representing a decrease of 1.9% to an increase of 5% year-over-year.  For paid service revenues, we are forecasting between RMB41 million and RMB46 million representing a decrease of 33.3% and 40.5% year-over-year. As Shuang mentioned earlier, the coronavirus outbreak is disrupting our operations and affecting over advertising clients budget in the short term. However, as we continue to bolster our market position by upgrading our content and enhancing our brand influences. We remain on track to achieve our long-term financial targets. However, while continue to invest in growing our revenues, we are also monitoring on our investment returns. Importantly going forward, we will remain committed to the refinement of our operating efficiency and the optimization of our cost structure. This prudent approach will further improve our investment returns as we expand our distribution channels and execute new business development project. More importantly, as a result of the cost control initiatives that we have implemented and our consistent streams of revenue, we have built up abundant supply of cash reserves to sustain our growth during this challenging time. The combination of our prudent investment approach and the strong capital positions will help us to weather the current market headwind, return to profitability and improve our positioning to better seize market opportunities going forward. This concludes the prepared portion of our call. We are now ready for questions. Operator, please go ahead.
Operator: [Operator Instructions] Your first question comes from the line of Frank Chen. Please ask your questions.
FrankChen: Hello, Shuang, Edward, Qing. Hope everyone is healthy. I have a question on the loss margin in 2020. I remember last time you were talking about to lower the loss by like 50% in 2020. Given current situation, can you give some update on your target? How should we think of the loss and loss margin in 2020? Thank you.
ShuangLiu: Yes. Hi. This is Shuang. I like to answer your question maybe Edward can add few more words. We believe that we can significantly narrowing our loss in 2020. First at the end of the 2019, we thoroughly refine our organization structure and also things at the start of 2020 also systematically optimize our content cost and traffic acquisition cost to control our content cost we review all the contracts with our content providers more carefully before planning it so that we can maximize our return, our investments of all copyright contents. To control our channel cost, we have taken into consideration both the current market environment, user growth strategies, implemented a series of serious cost control measures and limited power manage into those channels with less efficient traffic acquisition.  Moreover, I think the outbreak of our operating metrics have improved substantially as a result our conviction towards maintaining our professional journalism and augmenting our brand influence is further strengthened as these core competencies enable us to attract those users with profiles desirable by our advertising clients. We believe we're able to improve our profitability in an efficient manner. So we remain confident in our ability to narrow losses substantially in 2020.
Operator: Your next question comes from the line of Carmen Zhang from First Shanghai. Please ask your question.
CarmenZhang: Hi, management. Thanks for taking my question. My question is about the recent coronavirus outbreak. Could management share your thoughts on how the outbreak may impact your business?
ShuangLiu: This is Shuang. Yes. I will tackle the question first and maybe later Edward can cover the impact on our advertising business and other relatable. I think the early stage of the coronavirus outbreak; our editorial team has provided comprehensive and in-depth coverage of epidemic. Our reporting performance have in turn significantly enhance our operating metrics including DAU retention rate and click-through rate our iPhone news app. In addition, our well received news coverage also helped us further enhance our brand reputation. So this outbreak provides us with an opportunity to further strengthen our brand influence and improve our traffic. We also like that outbreak coverage rates by leveraging Phoenix satellite television news reporting resources providing original video programs producing in-depth expert opinions and distributing real time epidemic data. Beyond our news coverage we also provide various type of aid to support those affected by the coronavirus, including as I mentioned in my opening remarks, including the donation of cash and medical supplies to Hubei province. We initiated several influential social campaigns. For example, we established China's first online registry for coronavirus patients; offer tablets to children in poverty so they can access online classes and publish an encyclopedia of protective measures in collaboration with Providence Academy for overseas Chinese students. These initiatives not only provided tangible support to those affected by the epidemic, but also enhance our branding reputation which will improve our brand advertising sales in the future. Based on these our recent practice, the industry-leading quality of our news coverage has attracted many new users to our platform with a healthy level of click-through rate and user time spent. So going forward we, I think we will continue to focus on the needs of those core users as we optimize our content ecosystem and AI powered content distribution system. So with this strategic focus in mind, we have -- we evaluated our user acquisition strategy as well. We think when we examine the ROI of those users acquired through our investment in marketing channels, we figure out that their level of stickiness and engagement, as well as their contribution to our ad inventory still has quite a bit of room to optimize. So we believe that in 2020 our traffic acquisition cost should be reduced by at least 50% as we improve our user acquisition efficiencies. So this epidemic also let us realize that we need to re-evaluate and without new user growth strategy to optimize our user experience. While we are expecting user traffic to gradually return to normal levels after the epidemic, the outstanding quality of our news coverage during the outbreak has allowed us to further enhance our users' stickiness and brand influence. These improvements will remain attractive for our brand advertising clients after epidemic is contained. Edward probably could have few more words on advertising and other business.
EdwardLu: Sure. Thank you, Shuang. Good morning, Carmen. This is Edward speaking. I'd like to talk to about the impact of coronavirus outbreak on our advertising business. Actually the competition the online advertising market has become increasingly fierce in recent years. Top short-form video platforms are gaining an increasing amount of market share and the user time spend as people have spent more time on lines throughout the coronavirus outbreak, we have observed an increase in the overall supply of advertising inventory. However, at the same time the epidemic is impacting advertisers business as well and causing them to be more conservative about your ad placement and the marketing spending.  From our perspective, the combination of these factors has created downward pressure on the pricing of our advertisement for sure, especially on the ECPM of performance-based as from SME. During the outbreak, our excellent reporting of the epidemic has resulted in a significant increase in user traffic. This improvement enabled us to effectively increase our advertising inventory and the sales. However, in general overall advertising environment well create a serious challenge for our advertising business in 2020 especially on the brand advertising sales side.  Take the auto industry as an example. Due to the impact of the epidemic, consumer demand for cars has dropped significantly. According to recent data released by the China Association of automobile manufacturers, auto sales in the first of the two months of 2020 decreased by 42% in comparison to the same period of 2019. As a result of these, carmakers in China yet to be forced to add or reduce their marketing budgets or delay their marketing plan. However, it is expected that the market will start to recover in the second quarter of 2020 and the manufacturers will also begin to gradually increase their marketing spending. Another area worth mentioning is e-commerce; [Tech Difficulty] severely impacted the outbreak. The e-commerce sector enjoyed a 3% year-over-year increase in south during the first three months of 2020. Generally speaking since the people avoided going outside during this period, the epidemic accelerated the shift of consumption habits from offline to online, actually benefit the e-commerce industry. So we expected a significant increase in total e-commerce spending for the full year of 2020. Our reporting of the epidemic has led to a surge in our lower user base and in our ad inventory. As a result, we should be able to better serve our e-commerce advertisers going forward. Overall, I think the epidemic has created challenges for our advertising sales. In response, we have also implemented a few measures for our advertising business. For example, we have been shifting some offline events to online. As the surge in our traffic should give our advertiser better brand exposure and a higher sales conversion rate. Also [Tech Difficulty] expanding into new verticals such as study abroad and online education to further diversify our client base. Also we are facing the short-term headwinds on our advertising business. Our brand influence and the public recognition to our in-depth coverage will bolster our growth in the long-term for [Tech Difficulty] Moreover, our gaming business, our subsidiary, Miaoqiu has completed the development of the Golf Players. On February 10th, this game title received its gaming license from the state administration of price and publication. We are currently working closely with leading game producers in China to distribute and launch the game in April. We will for sure update everyone on our progress in these areas in a timely manner going forward. I hope that answer your question, Carmen.
Operator: Your next question comes from the line of Binbin Ding. Please ask your question.
BinbinDing: Good morning, management. Thanks for taking my question. I wish everyone stay healthy and safe. I have a high level question on your strategy in 2020. So I think the overall media space in China become very dynamic and competitive in past two years. Can you share some colors in terms of your top business priorities in 2020? And with your focus increasingly shifted to content production, how do you balance Phoenix position as a more traditional media platform offering news service versus our new role as a content producer providing more English content such as literature, video content, et cetera. Secondly, could you update as your investment strategy in 2020 given you have a lot of cash on the balance sheet. Thank you.
ShuangLiu: All right, Binbin. This is Shuang. To answer your question; the first operational challenge this year is to significantly reduce our operating loss. As I mentioned in my previous remarks, we are very confident that after adopting the new user grow strategy, we are going to fiercely cut our marketing budget and become more focused on core users for the optimize our user experience. So that the loss will be reduced significantly. That's our top operational challenge and we are confident that we can tackle that challenge. And as to the content strategy, we will -- as you got witnessed in this coronavirus outbreak, we are at the forefront of the covering of the coronavirus. We are very proud of our breaking news coverage, our analysts' high quality professional analysis, our offline charity event and campaign and also the very -- video program targeting at people affected by this virus. So we are going to continue to stick to our core strategy as content -- as a top content player especially in the news and news related areas. Because I think there is -- in this era of uncertainties, the high demand for independent quality and professional news coverage of the major event. That provides us unprecedented opportunity to better serve our users to improve our traffic. And also we have like other players we have Phoenix TV backing us. We can leverage their rich reporting network all over the world. And their topnotch documentaries to enrich our users experience. As to investment and growth strategy, we are continued to explore new growth drivers both organically and through acquisitions. Notably, by combining our operational experience and industry expertise, we have developed a systematic approach to evaluating strategic investment opportunities. Our current priorities are to evaluate acquisition targets with attractive valuation, strong synergistic capabilities and the potential to expand our footprint in such sectors as healthcare, finance and urban lifestyle. And more importantly, in response to the increasing uncertainties brought on by the pandemic, we have also adopted a more cautious approach to our strategic investment and M&A strategy. We believe that we have the right game plan in place to accelerate the development of our new business while mitigating potential use factors to ensure long-term returns for our investors. So as soon as any meaningful progress is made on this front, we will be sure to update everyone maybe. Thank you.  End of Q&A
Operator: There are no more questions at this time. I'd now like to hand the conference back to today's speaker. Please begin.
Qing Liu: Thank you, operator. We have come to the end of our Q&A session and our conference call. Please feel free to contact us if you have any further questions. Thank you for joining us on this call. Have a good day. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.